Operator: Good morning and welcome to Genie Energy's Fourth Quarter and Full Year 2015 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation by Genie Energy's management, there will be an opportunity to ask questions. [Operator Instructions] In this presentation, Genie Energy's management team will discuss financial and operational results for the three and twelve months ended December 31, 2015. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that Genie Energy files periodically with the SEC. Genie Energy assumes no obligation, either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. The Genie Energy earnings release is available on the Investor Relations page of the Genie Corporation website, www.genie.com. The earnings release has also been filed on a Form 8-K with SEC. Please note, this event is being recorded. I will now turn the conference over to Geoff Rochwarger, Genie's Vice Chairman and CEO of Genie E&P. Please go ahead, Mr. Rochwarger.
Geoffrey Rochwarger: Thank you, operator. Welcome to Genie Energy's fourth quarter 2015 earnings conference call. On today's call, you will again hear from three members of the company's senior management team. I will provide an update on the oil and gas exploratory operations conducted by our Afek subsidiary operating in Northern Israel. Michael Stein, the CEO of Genie Retail Energy will follow with the review of that business's operational results. And finally, Avi Goldin, Genie Energy's CFO, will discuss our financial results for the fourth quarter and full fiscal year. At the conclusion of Avi's remarks, we will take any questions you have. Let me begin by providing a quick overview of our project in Northern Israel for our new shareholders. In April 2013, Israel's National Infrastructure, Energy and Water Ministry awarded our Afek subsidiary an exclusive three-year petroleum exploration license covering 396.5 square kilometers in the southern portion of the Golan Heights. Following the license award, we initiated a multi-phased exploration program; phase 1 consisting of extensive seismic and other geophysical surveys, generated considerable evidence, support of our thesis that the license areas is highly resistant, likely containing a significant oil and gas resource. Based on these surveys and other evidence, we applied to Israel's Northern District Committee for planning and building for exploratory drilling permits. In February of 2015, the committee issued those permits for a period of one year subject to certain restrictions, and in February of this year, the committee extended the permits for two additional years. We believe this extension will provide adequate time to complete the current exploratory program given the pace of our operational progress over the past several months. We have now completed phase 2 of our exploratory program, the drilling of five exploratory wells intended to help us characterize the resource and better understand the composition and lithology of the areas geology. During the drilling program, we have identified hydrocarbon resources and the preliminary conclusions are consistent with the theory that there is a large oil and gas resource at relatively shallow intervals within the license area. We have now embarked on phase 3 of the exploratory program, a well flow test program. A well flow test program in conjunction with data gathered from the exploratory wells will allow us to better assess the commercial potential of the resource including the technical and economic feasibility of commercial production. Following the initial well flow test at Ness 3, we may decide to conduct additional flow test at this well or at other completed wells. For further we refine our understanding of the resource by drilling additional exploratory wells or both. The next test will depend upon the results from the well flow test, evaluated and interpreted in light of the data gathered during the first two phases of our exploratory program. Our goal is to develop a compelling body of evidence sufficient to declare the discovery under Israel's Petroleum Law and to use that information as the basis for application to the ministry for a commercial license. I look forward to updating you on the well flow test and other results in our call next quarter. Now I will turn over the call to Michael Stein to discuss this quarters operational results for Genie Retail Energy.
Michael Stein: Thank you, Geoff. I'm pleased to report that Genie Retail had another solid quarter with year-over-year increases in gross meter adds, net meter adds, and RCEs. Turning to our customer base, we added 70,000 gross meters in the fourth quarter, an increase of 15,000 compared to the year ago quarter but slightly less than the 74,000 meters we added last quarter. We continue to see a strong response in the retail marketplace to our smart budget offerings to fixed rate characteristics. And these fixed rate offerings accounted for approximately 16% of our total electricity load by the quarter close. The year-over-year increase in gross meter adds was partially offset by higher level of churn than we experienced in the year ago quarter. Average monthly churn is 6.3% in the fourth quarter of 2015 compared to 5.9% a year ago. Our churn rate decreased sequentially from 6.7% in third quarter of 2015. Total meter served increased for the third consecutive quarter climbing to 392,000 at the end of this fourth quarter from 388,000 at the end of the prior quarter, and from 363,000 a year ago. Because we focused our acquisition efforts on dual meter and electricity-only households, our gas meter customer base has remained at 129,000, the same level as the year ago quarter and a 2,000 meter increase sequentially. Electric meters increased 264,000 from 234,000 year ago and from 261,000 at the end of the prior quarter. Total RCEs increased to 259,000 from 243,000 year ago but declined slightly from 264,000 at the end of the prior quarter. Year-over-year RCE growth reflects the fact that we've added 30,000 net new meters and we have targeted markets in New Jersey and Illinois that have on average higher consumption meters than our existing customer base. The price of decrease reflects the fact that RCEs are measured average consumption over the prior twelve months, and they were relatively mild when we experienced in 2015, we'll tend to reduce the RCEs of our meter base, all other factors being equal. Looking ahead I am optimistic to continue to generate organic expansion to our business by fully leveraging and reclining our traditional sales force. In addition, we are evaluating several long term growth initiatives including new offerings and geographic extension. I look forward to sharing the details with you in future quarters. And we noted in Form 8-K filing earlier this week, on February 23, the New York Public Service Commission or PSC issued an order enacting new regulations that saw in turn post significant new restrictions on retail energy providers operating in New York, including those owned by Genie Retail Energy. The PSCs order which was to come into effect in March 4, last week would require that all retail energy providers electricity and natural gas offerings to residential and small business customers include a guarantee savings compared to the price charged by relative incumbent utility or for electricity offerings provide at least 30% supply from renewable sources. This PSC would require that we and other providers would return any customers to our not enrolled in one of these compliant programs to the local utility at the end of their contract period or for our variable price customers operating on month-to-month agreements at the end of the current monthly billing cycle. On March 4, a group of parties from our industry sought and wanted temporary restraining order to block implementation of the PSCs order until April 14. In the interim, we expect that the REP industry will take additional legal action seeking a definitive judicial review of the PSCs order. Here at Genie Retail Energy, we are in the process of evaluating the potential impact of the PSCs order on our New York operations while preparing for compliance with any new requirements. Depending on the final language of the order, and the outcome of the legal appeals, as well as how we decide to respond to the order which affects our relationship with our New York customers, the order could have a substantial impact upon Genie's operations to New York. As of December 31, 2015, New York represented 53% of our total meter served, and 44% of our total RCE base. I will not comment on the inequality in the way this order treats REPs like Genie Retail Energy compared to the utilities except to say that I would expect that this will be one of the concerns of which the industry will seek judicial review. Now, Avi Goldin will discuss the fourth quarter and full year financial results.
Avi Goldin: Thank you, Michael. Thanks to everyone listening for joining us this morning. My remarks cover the financial results of the fourth quarter and full year 2015. The three and twelve months period that ended December 31, except where indicated otherwise all comparison in my remarks are to the results for the corresponding period in 2014. Consisting of my approach in prior quarters when discussing the prior quarter financial results, I will focus on the year-over-year comparison rather than the prior quarter results. To remove from consideration the seasonal fluctuations that are characteristic of our retail energy business. On consolidated basis, the fourth quarter financial results were strong and generally consistent with recent trends. Our retail energy business improved its bottom line results compared to the year ago quarter and capitalized exploration expense at Afek increased as we near the peak of our current exploratory program in Northern Israel. Genie Retail again generated all of Genie Energy's revenue, direct cost of revenue in gross profit. In the fourth quarter Genie Retail revenue totaled $43.9 million compared to $49.7 million in the year ago quarter. Full year revenue is $210.1 million compared to $275 million in 2014. The quarterly revenue decline was primarily driven by gas sales which decreased to $7.3 million from $12 million. Revenue per therm sold decreased by 25% compared to the year ago quarter as the retail price of the gas fell throughout the year and we sold 19% fewer therms of gas primarily because of the seasonably warm weather in the final three months of 2015, typically a significant quarter for gas sales. Average consumption per meter decreased by 19% to 23 days in the last three months of 2015, well over 20% to the corresponding levels the year ago. For the full year sales of natural gas decreased to $40.8 million from $57.9 million. Average revenue per therm sold decreased by 21% while therm sold decreased 11%. In contrast, electricity revenue in the fourth quarter increased slightly to $36.8 million from $36.7 million a year ago. Kilowatt hours sold increased 4% compared to year ago quarter. We grew our electricity meter base serving 27,000 more meters on average in the fourth quarter 2015 compared to 2014, an increase of over 12%. The impact of this meter growth is partially offset by 7% decrease in consumption per meter primarily because of the milder weather. The net increase in consumption is balanced by 4% decline in revenue for kilowatt hour sold. As the retail price of electricity continued to decline in many of our markets, full year electricity sales decline $47.2 million to $167.3 million. Average revenue per kilowatt hour sold decreased 13.7% and kilowatt hour sold decreased by 10%. The decrease in consumption reflected a 4% decrease in average electric meter served in 2015 compared to 2014 and 6% decrease in average consumption per meter reflecting both weather and the acquisition of relatively lower average consumption meters in Illinois and New Jersey. Consolidated gross margin for the fourth quarter was 36.7% compared to 25.7% in the fourth quarter of 2014. Quarterly gross profit increased to $16.1 million from $12.8 million. The fourth quarter gross margin on electricity sales was 41% compared to 36%. While average revenue per kilowatt hour sold decreased 4% compare to the year ago quarter, the underlying electricity commodity cost decreased by 11%. Increase in gross margin drove corresponding increase in gross profit in electricity sales to $15.1 million from $13.3 million. The margin on gas sales in the fourth quarter 2015 increased to 18.2% from a negative 1.3% in the fourth quarter of 2014. In the year ago quarter you may recall that costs rose sharply driven by distribution capacity constraints of our utility regions. Average revenue per therms sold in the fourth quarter 2015 decreased to 25% year-over-year. While average cost per therm decreased even more significantly sliding 40%. Consequently gross profit on gas sales increased to $1.3 million from a negative $152,000. On a consolidated basis the gross margin for the full year 2015 was 32.9% compared to 18.9% in 2014. The full year gross margin on electricity sales was 35.5% compared to 22.8% while the gross margin on gas sales was 24.3% compared to 4.9%. Full year gross profit was $69.1 million in 2015 from $51.9 million in 2014. Consolidated SG&A expense for the fourth quarter increased to $17 million from $15.1 million including non-cash compensation which declined to $1.2 million from $2.3 million in fourth quarter 2014. The increase in SG&A expenses almost exclusively generated by Genie Retail was partially offset by a mild decrease in corporate G&A expense. SG&A expense at Genie Retail climbed to $14.6 million from $11.5 million. The increase primarily resulted from the increased customer acquisition costs related to the higher rate of gross meter acquisition that Michael mentioned in his remarks, as well as higher personal expense. Corporate G&A decreased to $2.1 million from $3.3 million reflecting primarily the compensation ranging with our Chairman & CEO Howard Jonas which caused corporate non-cash compensation decrease to $1.1 million from $2 million in the year ago quarter. Full year 2015 SG&A expense increased to $66 million from $61.7 million. The increase is driven by higher customer acquisition and personal expenses at Genie Retail offset by lower non-cash compensation expenses. R&D expense in the fourth quarter declined to $323,000 from $1.5 million reflecting the scale and back scope of operations Genie Oil & Gas specifically Genie Mongolian IEI. Full year 2015 R&D expense was $2 million compared to $5.5 million. Exploration expense incurred entirely by Afek Operations in Northern Israel was $2.2 million, a decrease from $3.5 million in the year ago quarter and an increase from $1.5 million in the sequential quarter. Pursuant to the successful efforts accounting methods, we adopted a BBM [ph] this year. We capitalized the cost of our drilling program which totaled $9.2 million compared to zero in the year ago quarter, and $6.8 million in third quarter 2015. Full year 2015 exploration expenses $6.6 million compared to $7 million in 2014 and capitalized exploration and cost for the year was $27 million. On a consolidated basis, Genie generated adjusted EBITDA in the fourth quarter of negative $2.4 million and improved it from negative $5 million a year ago. Improvement resulted from the increase in adjusted EBITDA at Genie Retail, lower R&D expenses of Genie Oil & Gas and reduction in exploration expense at Afek as we capitalize the drilling cost. Genie Retail contributed $1.6 million in adjusted EBITDA in the shoulder quarter compared to $1.4 million in the year ago quarter. On the strength of the strong electric margins I mentioned earlier. Afek generated negative adjusted EBITDA of $2.4 million, an improvement from negative adjusted EBITDA of $3.6 million in the year ago quarter. Slightly behind negative adjusted EBITDA of $1.8 million in the sequential quarter. Genie oil and gas negative adjusted EBITDA of $600,000 compared to negative adjusted EBITDA of $1.5 million in the fourth quarter of 2014, and negative adjusted EBITA of $657,000 in the third quarter of 2015. On a consolidated basis, full year adjusted EBITA was negative $223,000 compared to negative $11.4 million in 2014. The improvement reflects the increase in gross profit generated by Genie Retail, reductions in exploration expense and a fact that we capitalize that exploration expense which was partially offset by the increase in SG&A expense at Genie Retail. The net loss attributable to Genie common stockholders after non-controlling interest preferred stock dividends from fourth quarter was $4.2 million, or $0.19 per share, compared to a net loss of $10.8 million or $0.50 per share in the year ago quarter. Full year net loss attributable Genie common stockholders was $8.9 million or $0.40 per share compared to a net loss of $27.9 million or $1.31 per share in 2014. Pivoting to the balance sheet, at December 31, we had $60.3 million in cash, cash equivalents, restricted cash and certificates of deposit. Our working capital totaled $77.1 million. Following the quarter closure, the Board of Directors reinstituted a quarterly dividend in our common stocks with $0.06 a share, several factors played into the Board's decision. As I mentioned, our balance sheet continues to be strong and liquid, Genie Retail's performance continues to improve. Another fact with the flow test underway, we are likely approaching the peak of the exploration operations for the current plan and are comfortable that we have sufficient resources to complete the remainder. Upon completion of the program, we expect to look to explore alternative sources of capital for subsequent activities. That concludes my remarks on the fourth quarter financial results. As always, we welcome any questions you may have for us on the business, in general and this quarter's results specifically. I will now turn the call back to the operator for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Aaron Shafter of Great Mountain Capital Management. Please go ahead.
Aaron Shafter: Hi, congratulations on your results. My questions all have to do with the Afek venture on the Golan. As far as the flow test is concerned, can you tell us approximately when it began and any estimate of when it would be completed?
Michael Stein: The flow test began within the first quarter of 2016. We can't necessarily discuss when it's going to be completed, it's partially a function of how long we need to take within each of the zones where we're testing and what the ultimate results will come out from the interpretation. And as Geoff mentioned, subject to the results from the first flow test, we might look to do a second flow test within one of our other completed wells. But we will update investors as we have relevant information.
Aaron Shafter: So, will you be releasing that in the 8-K or is that going to be discussed in the next earnings release?
Michael Stein: If there is information that rises to the level that needs to be released in the interim we will obviously release it within an 8-K. Absent that we expect to just provide more of a general - another general update at the next quarterly release.
Aaron Shafter: Okay. And as far as the test well is concerned, you're on your sixth well, do you have any idea when you expect to complete that and began the seventh flow test well?
Michael Stein: So just to be clear, we've completed five and we're now focusing on the flow testing within one of the completed wells, and then potentially a second one subject to the results. We don't have a six well currently scoped or currently planned for the immediate future, but we have that ability under our permit, should we look to do another well, partially - depending on how the results playout.
Aaron Shafter: So your permits allow you to do 10 test wells? Is it possible that you would - that you don't need to drill the rest of those test wells?
Michael Stein: That is correct, it is possible that we will not decide to drill the remainder of the wells, but you know as I said that's ultimately going to be a functional of what the results tell us.
Aaron Shafter: Okay. And at the end, you mentioned possibly seeking alternative sources of capital, would that be something like - a royalty trust or selling lot of parts of your holdings, and Afek or could you elaborate on it?
Michael Stein: So I would say that all options are on the table, over the course of the years we've been in conversations with numerous parties about the potential of the resource and where we are, and we determined is that the first stage of exploration operations where we been indulging for the past three years, is where the velocity of value creation is at its highest. That subsequent to that, based on the flow test that we've designed, we expect to have the kind of third-party materials we would need to have a meaningful conversations, both with private oil and gas investors, large - oil and gas companies that are engaging in this space, and, you know we'll look to optimize this conversation once the results are in. But the short answer to your question is that all options are on the table.
Aaron Shafter: Thank you. That's all the questions I have.
Operator: Our next question is from Terence Meyer of Meyer Capital [ph]. Please go ahead.
Unidentified Analyst: Good morning.
Geoffrey Rochwarger: Good morning.
Unidentified Analyst: My question is in regards to the PSC order. I wonder how much you can elaborate on what you've already said, particularly in regards to the savings, is there a number that you've been given as to how much saving you have to guarantee?
Geoffrey Rochwarger: So, the short answer is there is not much we can say outside of what we've already said. The order does not specifically have a number for savings, it just says guaranteed saving verses the utility. But as Michael mentioned in his remarks, you know there is a lot of fluidity to the order and that's part of the reason for our opinion that as to why the temporary restraining order was put into place and we're no more as the next month or month and a half unfolds, and we get more clarity on some of these decisions.
Unidentified Analyst: Okay. Are you able to say on the 30% supply, how was that defined, is there 30% must be able to be supplied from your operation, or 30% must actually be supplied currently to your consumers?
Geoffrey Rochwarger: So that's also something that within the regulation, within the order needs a little bit more definition. There is currently within the industry, the ability to acquire green - green sources for your load, through what's RECs or RACKS. So there is an expectation that those types of products where you go out and acquire sort of a green mess of somebody else's load and use that to provide customers with green - with a green product, it's something that ultimately would be able to be used to satisfy these orders. But there's still a lot of variability there.
Unidentified Analyst: Can that be done with any margin?
Geoffrey Rochwarger: We've been incurred interpretation of the order, it seems that you can't, you do not have to guarantee a saving, if you're providing a green product.
Unidentified Analyst: Okay. Thank you.
Operator: Our next question is from Kevin Meyer [ph], a private investor, please go ahead.
Unidentified Analyst: Yes. Back to the PSC order, not - forgive me, I was late to the call. And your last comment you just made, are you saying that if you provide 30% of renewable energy, you don't have to provide the statement of savings?
Geoffrey Rochwarger: That is currently the way the order is structured, but as we mentioned in the onset of the call, there is a lot of ambiguity within the order, which is part of the reason why we believe that the temporary restraining order was granted, and we'll know a lot more over the next six weeks, as this plays out.
Unidentified Analyst: Okay. And one more question, are the incumbent utilities required to provide 30% of their energy from renewables?
Geoffrey Rochwarger: Our understanding is that this order only applies to the REP industry, which is, as Michael alluded to - one of the reasons why, you know, like, we think that this is potentially a little difficult for industry well to do it's a competitive position, but I really don't want to get into that, specifically. Our intention is to comply with the orders as it gets finalized, we are committed to that. But we won't know until that actual finalization happens.
Unidentified Analyst: Can I ask you another question?
Geoffrey Rochwarger: Go ahead. Sure.
Unidentified Analyst: If have to provide 30% of our energy from renewables, what effect it's going to do to your average cost of a supply or whatever, can you answer that question?
Geoffrey Rochwarger: We can answer this question at that time, that question at this time. We really need to see the final old set of rules before we could develop a strategy or provide something like that.
Unidentified Analyst: Okay, thank you sir. I appreciate your comments. So, that’s all I have.
Operator: Our next question is from Linda Minett [ph], a private investors. Please go ahead
Unidentified Analyst: Hi, everybody. I was wondering with problematic regulation in Israel, specifically with energy like we can see with Noble case, how you going to address the issue, the regulation issue?
Avi Goldin: Just to repeat the question, the question was is the Israeli regulatory environment and challenges that Noble has seen?
Unidentified Analyst: How are you going to address the issue with all of this regulation?
Avi Goldin: That's a great question. So as you are aware, we've been operating in Israel through our first project IEI and Afek for quite some time. We are aware of these regulatory environments. We have some experience in navigating both, the permanent process and the types of challenges the companies face. We found it to be at times interesting operating environment but one that we are comfortable operating in, I would say that as the project moves forward we will look to meet those regulatory challenges that exist anywhere in the world that you love to operate. We don't see ELISA guy. Specifically difficult to work with, specifically difficult country to work in. And in some capacities we'll try to learn the lessons from the people who've gone before us in pushing these projects forward. At this time our focus is on our exploration, we've got a very exciting project. Space is enough, we've got a lot of moving pieces.
Unidentified Analyst: Thank you, I am happy to hear. My second question, if I may, oil now is at $36. Does this make partnering up with an experienced tight oil driller more difficult or is it good?
Avi Goldin: Ultimately the flow tests are going to help us to find our sweet spot in production and find what kind of drilling operator we need to approach who would be a great partner for us. As we said in the past a range of potential outcomes for this resource and ultimately we are really not going to know until the results of the flow test come in, but we have been fairly aggressive in approaching different partner types and we feel we will be able to have meaningful conversations once we have a more defined production profile.
Unidentified Analyst: Would you say like six weeks?
Avi Goldin: Six weeks is definitely a little bit aggressive. As we said in the past there is a prospect, as a project of operating the flow test and then there is the analysis period and I wouldn’t want to pre-suppose how long it is going to be how long we are able to come with more definitive results. It’s possible that the results of the first quarter test as Jeff mentioned might lead us to a second flow test so that we can have a more definitive path forward.
Unidentified Analyst: Okay, thank you very much.
Operator: [Operator Instructions] Since there are no additional questions, this concludes our question-and-answer session and conference call. Thank you for attending today's presentation. You may now disconnect.